Operator: Welcome to the Cirrus Logic third quarter fiscal year 2008 financial results conference call. At this time, all participants are in a listen-only mode. Later we'll open up the call for your questions and instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I'll now like to turn the call to Thurman Case, Chief Financial Officer. Mr. Case you may begin.
Thurman Case: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer. Before we begin I'd like to remind you that during the course of this conference call, we'll make projections and other forward-looking statements regarding among other things our estimates for our fourth quarter fiscal year 2008 revenues, gross margin levels, operating expenses, amortization of inquired (sic) intangibles and share-based compensation expense, as well as our estimates and assumptions regarding our future revenue growth and profitability. These statements are predictions that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information we undertake no obligation to update or revise any projections or forward-looking statements whether as a result of the new developments or otherwise. Please refer to our press release issued today which is available at our website cirrus.com, our latest form 10-K ending March 31st, 2007 as well as our other filings made with the Securities and Exchange Commission for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. I also want to mention, before we proceed, that all financial numbers are prepared, unless noted in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial information provided in today's call to the mostly directly comparable GAAP information is included in our financial statements and on our website in the investors section. Non-GAAP financial information is not meant as a substitute for GAAP results but is included because we believe such information is useful for our investors for information on comparative purposes. In addition, we use certain non-GAAP financial information internally to evaluate and or manage our operations. As a note the non-GAAP financial information we use may differ from that used by other companies. These non-GAAP measures should be considered in addition to, and not a substitute for, the results prepared in accordance with GAAP. Now, as the housekeeping details are done, I'd like to discuss our third quarter financial results. Net revenue in the December quarter was $48.9 million, up 8% from $45.3 million in the quarter a year ago, and up 4% from $47 million in the September quarter. Audio products contributed $27.3 million in revenue, up 9% from $25 million a year ago and down 3% from $28.1 million in the September quarter. We continue to see a strong growth of our new audio products, which allowed us to grow revenue year-over-year. Industrial products generated $21.6 million, up 7% from $20.3 million in the December quarter a year ago, up 14% from $18.9 million in the September quarter. Historical revenue breakdowns are also available on our website for these product categories. We continue to have a diversified customer base with no OEM customers representing more than 10% of revenue, while one distributor, Abnet, represented 24% of our revenue during the quarter. Gross margin for the December quarter decreased to 56% from 57% in the June quarter and 61% in the December quarter a year ago. Total GAAP operating expenses were $26.1 million down from $30.3 in the September quarter and our GAAP net income in the third fiscal quarter was approximately $4.2 million, up from a net loss in the second fiscal quarter of approximately $300,000. On a non-GAAP business, our net income was $6 million and our earnings per share were $0.07 based on 89.5 million diluted shares. We arrived at our non-GAAP net income by making the following adjustments to our GAAP statement of operations. We excluded a net $1.3 million credit associated with the release of various facilities related accruals. We excluded 2.1 million in share-based compensation expense. We excluded approximately $500, 000 of amortization of inquired (sic) intangibles, and finally, we excluded $500,000 in legal fees related to current activities associated with the concluded stock-option reviews. Interest income for the third fiscal quarter was $2.9 million, down from $3.2 million in the previous quarter. Headcount remained roughly flat as we closed the current quarter with 548 employees. Now, turning to our balance sheet, total cash and marketable securities at the end of December was $252 million, up from $245 million at the end of the September quarter. Our total cash per diluted share was $2.81 at the end of the December quarter. We ended the December quarter with $23 million in net receivables compared with $23.8 million at the end of the September quarter. Ending net inventory for December quarter was up 3% to $20 million from $19.5 million at the end of the September quarter. Our capital expenditures were for $400, 000 in the December quarter compared with $1.1 million in the September quarter. Depreciation and amortization expense in the December quarter was $2.3 million with no increase over the September quarter. I would like to also mention the $150 million share repurchase program authorized by our Board that we announced earlier today. Stock purchases will be funded and utilized our cash resources and will be executed either through transactions in the open market or in private transactions. And now I would like to turn the call over to Jason to discuss our business operations and guidance for the upcoming March quarter.
Jason Rhode: Thank you, Thurman. Q3 represents continuing progress towards meeting our long-term growth and profitability objectives. We saw revenue grow by $1.9 million compared to Q2, which is up $3.6 million year-over-year. Revenue from new products grew compared to Q2 and to the same quarter a year ago, an indication that our innovative new products are valued by key customers. Back in June, we bought internally to develop a new vision, mission and values for the company. We then rolled out a strategic planning process aimed at determining how to align our resources with our best growth opportunities, with our goal of becoming the first choice supplier of analog and digital signal processing components for the audio and industrial markets. This process was completed in Q3, which resulted in our decision to deemphasize certain product lines that do not support this vision or want further investment. We will continue the support these existing customers for these products and going forward, we expect our product line investments to be consistent with our vision. This is allowed us to more fully invest in exciting product line better positioned to drive growth for Cirrus Logic. I'd like now to provide a brief update on our products beginning with the industrial category. These products include integrated circuits design for a variety of utility metering, high power, precision measurement, energy exploration and communications applications as well as our line of ARM processors. In the future, we will primarily be focused on energy related products within this category such as energy measurement and energy exploration. Revenues from industrial products in the December quarter came in at $21.6 million up 7%, compared to $20.3 million in the previous December quarter. This past quarter the integration of Apex Microtechnology was largely completed and revenues from our energy exploration or seismic products stabilize as we anticipated. Our new energy measurement products for the digital utility meter applications continue to gain acceptance with key global utility meter accounts and we expect that our strong new product roadmap will drive longer term revenue opportunities as digital meters continue to replace the mechanical predecessors. Looking ahead, we anticipate that the strong line-up of new products will expand our opportunities into a wide range of energy related applications in which our innovative, analog, and digital signal processing solutions will provide value to the market. Let me turn now to our Audio Products. Components in this category include data converters, class D amplification products, audio processors and interface circuits. Products that are used in a wide variety of consumer, portable, professional and automotive audio applications. This product category contributed $27.3 million of our December quarter revenue up 9%, compared to $25 million in the December quarter a year ago. One of the highlights this year has been our progress in a portable product line, which serves applications such as, portable media players and portable navigation devices. We began investing heavily in this product line several years ago, which led to initial success with Tier one customers and today, we are engaged with multiple leading customers that are generating strong growing revenues. We are on track to achieve our goal of $11 million in sales from this product, from portable products this fiscal year and momentum generated by this initial success has strengthen our expectation for significant growth from this product line in FY'09. Our plan looking forward is to continue to take market share and continue introducing new innovated products in this product line, this calendar year. Our success in growing revenue from portable products underscores our ability to enter new markets and gain share and service as a model for other product lines in which we commit resources to drive growth. In automotive, where we provide IC solutions for solution for car audio amplifiers, head units and telematics applications. We also continue to track to our current ongoing revenue goals for FY'08. We have entered volume production with new products and several automotive entertainment applications and we are well positioned to grow market shares with continued success with multiple key automotive accounts. Also, in December, Cirrus announced that we are the first supplier to provide a cost effective production ready Audio DSP featuring Dolby Volume and SRS Labs Volume IQ technologies for DTV and other applications. We met with numerous customers recently at the Consumer Electronic Show in Las Vegas. And we believe we have a significant competitive edge; leading OEMs looked to incorporate volume level in technologies like Dolby volume in to their products this year. This is an exciting technology that we expect to be valued by consumers and we plan to introduce additional products that offer these technologies for applications such as home theatre receivers and automotive entertainment. Now, let me review our guidance for the fourth quarter of fiscal year 2008. Our overall expectations are as follows: Revenue is expected to range between $44 million and $47 million. Gross margin is expected to be in the 55% to 58% range. Combined R&D and SG&A expenses are expected to range between $25 million and $27 million, including approximately $2.3 million in share-based compensation and amortization of acquisition related intangibles. Our expense guidance reflects certain spending reductions that are being faced in during the fourth quarter and are associated with our previously mentioned decision to deemphasize investment in certain product lines. In closing, we have refined our plan to capitalize on our strengths as a leading provider of analog and digital signal processing components for audio and industrial markets. We are in the process of aligning the full weight of the company's resources towards key programs that are consistent with our vision and design to grow to drive growth. Revenue from new products such as Portable is up significantly serving as the springboard for future revenue growth opportunities and $150 million share repurchase program we announced today underscores our confidence in our plan. We are now ready to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions). Our first question comes from the line of Jay Srivatsa, Roth Capital Partners. Please go ahead.
Jay Srivatsa - Roth Capital Partners: Thanks for taking my questions. A couple of questions, if I may. First of all, on a non-GAAP basis, Thurman, what was the EPS number?
Thurman Case: On a non-GAAP basis, earnings per share for the quarter were $0.07.
Jay Srivatsa - Roth Capital Partners: $0.07. Okay.
Thurman Case: Yes.
Jay Srivatsa - Roth Capital Partners: And then in terms of margins, it appears that your industrial business was slightly stronger relative to last quarter, but yet your margins were down, could you clarify why that was?
Thurman Case: That's primarily mix.
Jay Srivatsa - Roth Capital Partners: Well, I would have thought the industrial business are the higher margin businesses, so that should have positively impacted your gross margins, wouldn't that be case?
Thurman Case: Well, audio is up as well, all right.
Jay Srivatsa - Roth Capital Partners: Okay.
Thurman Case: I mean, margins within the industrial product line vary quite a bit as well.
Jay Srivatsa – Roth Capital Partners: Okay. And then, in terms of the share buyback, I'm assuming that you're going to jump on it, what kind of share count should we be modeling for next quarter?
Thurman Case: We're basically doing the buyback depending on market conditions. We've executed the program, because we intend to move forward on it. We don't really have a little bit to estimate what that share count exactly would be. It's in the open market and it will be based on that, on the market conditions as we go forward.
Jay Srivatsa – Roth Capital Partners: Okay.
Thurman Case: We didn't really have a lot of guidance for exactly what that will be.
Jay Srivatsa – Roth Capital Partners: Okay. And then, in terms of the March quarter, I suspect there is some seasonality, could you share with us, is it only in audio products or are you seeing anything in the industrial products, and how should we be looking at that?
Thurman Case: Well, as I indicated the industrial stuff stabilizes. Actually, a couple of the industrial areas are up a bit. Of course, in particular with portable, the consumer stuff is a seasonally soft quarter. So I would expect the audio side to be a little bit weaker and the industry side is actually up a little bit in some of the product lines.
Jay Srivatsa – Roth Capital Partners: Okay. And then, last question and then I'll step up again. In terms of the DTV products, specifically the ones you mentioned and showcased -- what type of contribution would you expect in calendar way from DTVs?
Thurman Case: Yeah. I don't know that we're ready to speculate on exactly the number that will come from those products within DTV. But overall, we are a looking for some significant contributions from the volume leveling and some of the new DSP products that we've got out. It's definitely nice to see the new products that we dropped in the last couple of years, really ready to bring into the market and actually be a contributor to the growth of the company.
Jay Srivatsa – Roth Capital Partners: Okay. Thank you.
Thurman Case: You bet.
Operator: Our next question comes from the line of Heidi Poon, Thomas Weisel Partners. Please go ahead.
Heidi Poon - Thomas Weisel Partners: Hi, guys. First a general question. Some of your peers supplying to the digital media player have seen the March guidance or outlook are pretty weak because of potential inventory in that channel. But it seems like your number is actually quite within the seasonal pattern. Could you explain why you're seeing this differently?
Thurman Case: Well, overall our dependence currently is probably the last unaffordable than some of the other guys. We'll do what we can do to increase that of course but we've done a very careful job of managing our inventory in particular, relative to that we're certainly aware of the trend in that the seasonal trend in that product line in particular and on some we kept a real close eye on.
Heidi Poon - Thomas Weisel Partners: So, in your March guidance you are basically building in a pretty seasonal outlook for Audio Products. So you're not really seeing problems on the channel regarding inventory.
Thurman Case: Yeah. No, we don't believe we have any significant inventory problems anywhere really.
Heidi Poon - Thomas Weisel Partners: Great. What about that you mentioned that the portable area is a big growth driver, but with the Volume IQ and the Dolby products, what is the expectation there for calendar '08 or is it more a '09 driver?
Thurman Case: No, we expect it to be significant this year. We haven't established an exact number that we're willing at, to put forward at this time, but as I said on Jay's question, it has been a long time. But we finally got real new products, their production ready and they have been designed in by our customers and the DSP products will be a contributor to our growth this year. So we expect really good things from that product line.
Heidi Poon - Thomas Weisel Partners: Great. Lastly, an operating leverage question. Do you anticipate more benefits from some of the spending cuts in the June quarter or is this the level that we should model. Is there a new operating margin target?
Thurman Case: Well, we're certainly going to continue to work on improving that. I think that we still got some relative to the kind of the range that we put out for Q4. I think we still got some room for improvement going forward and kind of as taxed outline. Those really have been phased in through the course of the quarter. So we'll get a little more benefit from those going forward.
Heidi Poon - Thomas Weisel Partners: Thank you.
Operator: Our next question comes from the line of Rick Schafer, Oppenheimer & Company. Please go ahead.
Rick Schafer - Oppenheimer & Company: Hey. Thanks guys. I had a couple of questions. Just first on Audio, I sort of expected and I thought you guys have talked about Audio being up a little bit in the December quarter. Looks like it was down about $1 million or so, I guess actually, sorry, yeah about $1 million or so. Can you kind of explain what happened there, maybe what the source of the weakness was? And is that kind of what we're seeing going into the current quarter or we're just seeing a normal seasonality?
Thurman Case: Yeah. I mean it was down just slightly relative to the Q2. Every year the seasonality - there are some years up a little bit, some years are down. We did expect a little bit more revenue in that. In Q3, we had a very slight amount of delinquencies. But it was not anything that we are hopefully concerned about.
Rick Schafer - Oppenheimer & Company: Okay. I guess number two here, just if you could discuss the pricing environment, it just seems like, and I guess I haven't seen the non-GAAP gross margin number yet, but just if you discuss the pricing environment on your end markets and sort of. I guess you will be thinking margins being stable going forward this year or do you expect, given the pricing environment out there, we should be kind of modeling gross margins to kind of trend down this year?
Thurman Case: I don't expect them to trend down this year. We believe we're in businesses that we should be able to maintain in the upper half, certainly above 55%. It's a lot of work. It's a challenge when you're ramping new products and as a larger and large percentage of your revenue comes from new products. It of course is a fair amount of work to do the job of supply chain management and make sure that the new wafer pricing and as we bring in new packages, et cetera online that you've got that fully right now with respect to cost. But we've got a fair amount of momentum on that. We got some good initiatives behind it and we believe will be able to keep in that range.
Rick Schafer - Oppenheimer & Company: Okay. And correct me if I'm wrong, Thurman. I think you've said in past that automobile and the portable stuff, were a little bit below core average gross margin?
Thurman Case: Right, we were running at one point, a year ago at 60% margins. Now, we're coming in at a lower number which we gave you earlier. And so, part of that is that our portable is the growth driver. It's a little bit lower than the old average of 60% and with the higher mix so is the Audio as Jason mentioned before. You are just going to have a natural progression down, but we don't see this continuing on a slippery slope down under the mid-50s. It should stay up above that range. And even with the portable and the automotive and the new product.
Jason Rhode: And let me, if I just add a little bit of color, that might explain kind of the perception. One of our bigger design wins, historically on the automotive stuff was with the pretty old product that had some margin challenges to it. Generally speaking, we expect automotive business to be very supportive with the corporate margin targets. So generally, automotive is a pretty good market for us in terms of margin that historically we had one particular piece of business. It was pretty significant that was at a lower end of the range.
Rick Schafer - Oppenheimer & Company: Great. So that's a really good color. So if the new automotive stuff is that, can we kind of guess that it's above 60% or in that range anyway?
Jason Rhode: No, but it's certainly supportive of the 55 and above, I think.
Rick Schafer - Oppenheimer & Company: Got it. And then just a follow-up on the seismic stuff you guys were talking about -- I mean should we be thinking of seismic as having dropped and is now starting to improve or how do we look at that business and was it kind of cyclical?
Jason Rhode: Yeah. Well, it is a cyclical and I'd say it's an interesting business per share. There are a lot of dynamics in it that involve, I mean discrete orders, it will really have customers that are pretty significant in that space that you can expect two orders for a year or something in those line as they as get an order to fill out another boat worth of electronics. So it can be a pretty discreet chunk of business, so it's a little bit hard to forecast. But as we said last time on the call, we expected that it had stabilized and it did. We're actually expecting a slight up-tick in it this current quarter that we are in. So that appears to be that we don't have any further holes to fill there. So it is a nice change.
Rick Schafer - Oppenheimer & Company: Okay. And then, just one last quick housekeeping one. I think I heard someone mentioned that the new, that the formal SEC option investigation was complete now, is that correct?
Jason Rhode: No. The formal investigation is continuing on. Though in there I mentioned the costs associated with that, but that the investigation is still underway.
Rick Schafer - Oppenheimer & Company: Any kind of timing or update you give us there?
Jason Rhode: Not really. I mean the SEC, that's the work.
Thurman Case: Yeah. The main concern that I hear from folks on that is just making sure that it's not that a continuing distraction to the company, our legal department is doing a very good job of taking care of that, so the rest the company can just keep focused on driving growth going forward.
Rick Schafer - Oppenheimer & Company: Right. And is there anything we should be worried about there like a worst case scenario, anything like that?
Jason Rhode: We don't really guess it.
Thurman Case: Yeah. I don't really speculate on this further.
Rick Schafer - Oppenheimer & Company: Okay. All right. Well, thanks guys.
Operator: And your next question is from Tayyib Shah, Longbow Research. Please go ahead.
Tayyib Shah - Longbow Research: Hi, guys. Can you briefly talk about when you said that you will be focusing your R&D resources away from certain products in the industrial portfolio, what kind of revenue impact is that going to have as legacy products are phased out over the next few quarters? Thank you.
Thurman Case: Well, I don't expect to have any impact in revenue over the next couple of quarters. It's not a big revenue piece for us now. But it was a fairly expensive type of product line to try to keep supporting. And really, I don't think there is anything negative there. That was a difficult decision to make, because people are always very excited and supportive of things they've been working on for a while. We need to manage the resources under the best growth opportunities. But we don't expect any revenue impact in the short-term.
Tayyib Shah - Longbow Research: So, then most of the revenue was already coming from power meters and seismic applications on the industrial side, is that correct?
Thurman Case: Well, power meters, seismic and as well as some of the more precision measurement products is really the bulk of the revenue there along with of course the Apex product line. I didn't [inaudible] overly much in the Apex piece, but that as we say, has gone pretty well according to the plan that was in place as we bought them. So that's still a significant contributor there.
Tayyib Shah - Longbow Research: Okay. And if you can just talk about what happened to margins within the industrial business last quarter? What was some of the positive drivers and negative drivers in there? That will be helpful.
Thurman Case: Well, really what we're talking about on margins is more of mix win. When Jason talks about mix issues, there are a lot of product lines within industrial, but if you look at a year-over-year number, Audio was a much bigger piece of our total revenue number and the mix within industrial was not as rich as it was a year ago. If you look at a quarter ago in the September end quarter, although, we are about flat on Audio, again, the percentage difference between that is, the total audio is a little greater plus. We had some reserve actions and we had some numbers that were a little bit higher about 300,000K higher than the previous quarter which moves out a little bit also. So they are moving parts in the margin numbers but it's not a concern that it's a continuing downward slide.
Tayyib Shah - Longbow Research: In portable audio specifically, are you still at the stage where you are working towards winning major designs wins with major OEMs in that space or is that something that you now have more visibility than you did about a quarter ago?
Thurman Case: I'm not sure, I understand the question. We've had some significant media player revenue this year. We expect to continue to take share in the portable market.
Tayyib Shah - Longbow Research: Okay. Thank you.
Operator: (Operator Instruction) Our next question is from the line of Jay Srivatsa. It's a follow-up question. Please go ahead.
Jay Srivatsa - Roth Capital Partners: Yeah. Thanks for taking my follow-up. Jason, on a macro level where the economic conditions the way they are, as you look ahead to the year, is there anything that causes you concern and the environment and if not, what do you believe is going to be the revenue profile for your company going forward?
Jason Rhode: Jay, it's a good question. Yeah. I think you would have to be pretty naïve to read the journal all the time or whatever, but not be a little bit concern about the overall economic circumstance. But generally, we feel like our growth is being driven by taking share and some spaces where even though we've had success, we're still a pretty small market share. So we think we still get growth opportunity anyway. And at the same time, our revenue for the current quarter is well supported by backlog. It's really early but our backlog is current for the following quarter and is perfectly reasonable relative to historical norms. So overall, we are not currently seeing any major impact in the overall economic situation.
Jay Srivatsa - Roth Capital Partners: Thank you.
Jason Rhode: Yes.
Operator: Our next question is follow-up question from Tayyib Shah. Please go ahead.
Tayyib Shah - Longbow Research: Hi, on the portable audio side, is there a good way to just handicap the revenue potential for you guys in calendar '08. Anything in terms of either hard revenue targets or maybe just a market share figure, a market share target would be helpful?
Jason Rhode: Yeah. We're currently in the ballpark of a 5%ish market share. We would expect that to go up fairly substantially in the calendar year. Certainly more than 10%, but we haven't established a formal target.
Tayyib Shah - Longbow Research: And how was that ramp going to look like. Is that going to be fairly linear through the calendar year or are we going to see a step function increase sometime in the second half of this year?
Jason Rhode: Well, we should be so lucky it will be linear. That kind of thing is a little bit hard to predict. Customer cycles are pretty funny, but there are some big games in town and those types of products tend to ramp pretty quickly. So, we expect we've got work to do to keep up with our customers in that space.
Tayyib Shah - Longbow Research: And what would be, I guess something that would lead to the upside to this 10% market share figure that you are aiming at and maybe you can also, if you can also talk about the risks to the downside in terms of achieving that target that would be helpful.
Jason Rhode: That's a pretty low estimate. I am not too worried about that as a downside. Yeah, it's a big market. There are a lot of moving parts to it. There is, it's funny. People tend to be pretty dismissive of some of the broader opportunities, but there are a lot of customers out there and they're shipping in the units. If we figure a dollar ASP in round numbers, there are a lot of customers that are shipping 5 million units. So, it doesn't take too many of those to move the needle.
Tayyib Shah - Longbow Research: Thank you.
Jason Rhode: Yes.
Operator: At this time, there are no further questions. I will turn it back to management for any closing remarks.
Jason Rhode: All right. Thank you for your questions and your interest in Cirrus Logic. Before we sign off, I would like to point out, we will be presenting at the Roth Capital Growth Stock Conference on February 19th, in Dana Point, California. Thank you once again for participating in the call.
Operator: Ladies and gentlemen, that does conclude the Cirrus Logic third quarter fiscal year 2008 financial results conference call. ACT would like to thank you for participation. Have a pleasant day. You may now disconnect.